Daniel Sundahl: Good morning from Asker, ladies and gentlemen, and welcome to TOMRA's Second Quarter Results Presentation for 2025. As always, CEO, Tove Andersen, will start today's presentation by giving you the highlights of the quarter. And afterwards, CFO, Eva Sagemo, will dive deeper into the numbers. And at the end of the presentation, we will open up for Q&A for participants in the Teams webinar. The Teams webinar link can be found in this morning's stock exchange release. We will conclude today's presentation at around 8:45. But without further ado, I give the word to CEO, Tove Andersen.
Tove Andersen: Good morning from me as well, and welcome to our Q2 results presentation. In this quarter, we have seen large variation in the market dynamics between our 3 divisions. In Collection, there has been high activity related to preparation for Poland and Portugal's upcoming deposit return systems, while the quarterly revenue is down compared to the same quarter last year, reflecting the phasing of new deposit markets. Recycling delivers revenues in line with same quarter last year, but the order intake is weak due to struggling plastic segment and macroeconomic and tariff uncertainty, which is postponing customers' investment decisions. Food is the highlight in the quarter, delivering a record quarterly EBITA, a record order intake and an all-time high order backlog. We do see encouraging signs of an improved market sentiment and the benefits of the restructuring is visible in our P&L. Let me then take you through the different divisions. In Collection, the second quarter reflects the phasing of new markets. But let me say a few words about the existing markets first. In existing markets, revenues continue to grow at a steady pace. We have been growing 5% in the first half year compared to first half year last year, which is in line with our strategic ambition. If we then go to new markets, we had an intense rollout period in Austria last year, which meant that the market was well prepared at the go-live date, which was 1st of January this year. Therefore, activity in Austria have significantly come down, leading to lower revenues in Q2 this year compared to the same quarter last year. In Romania, as also commented in the last quarterly presentations, installations continue due to high collection rates and sales to independent retailers, but at a slower pace this quarter than in Q1. For second half this year, Poland and Portugal are the key markets. There is high commercial activity in both countries. Some contracts are signed, others are under negotiations, and we expect installations to pick up in the coming half year. If we then turn to the upcoming deposit markets that we have listed here as normal, I will only comment on the changes in this list versus what we presented in the last quarter. First of all, it's good to see that U.K. is progressing well, and Scotland has then passed its amended deposit return regulation in June to make sure that, that is aligned with U.K., who is planning to go live in October 2027. Also good to see progress in Spain and May 22 was the deadline to apply to be the system operator of Spain. We have removed Uruguay from the list as we are still waiting for communication regarding updated go-live data for that country. But we have added Moldova. They announced in June that the government had adopted an implementation framework for a deposit return system and that the system is to be implemented within 1 year from the approval of the system operator, but no later than January 2027. And overall, there is a very good pipeline of growth opportunities for our collection business in the years to come. Then over to Recycling. In Recycling, we continue to see setbacks within the plastic recycling segment and in North America, which is the reasons for the weak order intake in the quarter. We have -- and I have talked a lot about the weak European plastic market for many quarters now, and we are not seeing an improvement. What has happened in the plastics segment is that we have seen depressed virgin prices for over 2 years, as you will see from the graph here. And one reason has been the overcapacity of supply in Asia, leading then to imports of cheap virgin plastics in Europe. And recycled plastic prices have followed suit, which has then put economic pressure on plastics recyclers and this has again been reinforced by high energy costs, which means that the business case for plastic recycling in Europe is challenging currently. And there is still yet very few legal requirements to use recycled plastics. However, this year, we have the introduction of the 25% recycled content requirement for plastic bottles in the EU. And as you can also see from the graph, this looks to be supporting then a higher increase in the rPET prices. At the same time, the increased difference in price between recycled and virgin plastic makes it economically rational option for producers to then buy virgin plastics if they -- and when they need to optimize margins and they don't have legal targets yet. But this will change. The mid- to long-term outlook for this segment is strong and positive. In 2030, the EU Packaging and Packaging Waste Regulation will require up to 35% minimum recycled content in plastic packaging. And this means somewhere between doubling or tripling of the recycled content versus today. So we are very positive about the medium to long-term outlook. Adding then to a challenging plastic market is how the global macroeconomic uncertainty and trade war is impacting our U.S. business, which we also talked about in the last quarter. U.S. has been a good market for us the last years, especially the waste segment due to a strong drive to modernize and automate. So far this year, there has been very low activity in the U.S. due to customers delaying their investment decisions as there is a high uncertainty regarding their CapEx. They need to make an investment decision and put an order today that will be delivered 3, 6 or 9 months ahead. And to do that, when you don't know if the tariff will be 10%, 20%, 30% or higher, of course, delays that decision. However, the fundamental drivers as modernization and automation remains intact, but certainty on tariffs is needed to get this market back. On a more positive note, the metals recycling segment has performed well in the quarter. I have talked a lot about aluminum and our new capabilities of sorting alloys with our AUTOSORT PULSE in previous quarters, which has contributed positively in this segment. On this slide, we have added a bridge below to show the market developments from first half last year to the first half this year. As you will see, overall, the development is flat, but the metals recycling market, excluding North America, has increased, while both the global plastic market and North America has decreased. As a result, the metals segment currently makes up a significantly larger share of what we are delivering to the market these days, which is impacting our margins. Then over to Food. After a record strong first quarter, Food delivers another record quarter with the highest EBITA, the highest order intake and the highest order backlog we have had so far. This is due to both our own efforts to restructure the organization to improve profitability and an improving market sentiment. As we mentioned at our Q1 presentation, when plantations area are ready to bear fruit, the urgency to invest in food sorting can be strong. It's very good to see larger scale projects coming back in the fresh food categories because this was the pain point and one of our challenges a few years back. We have had good order intake in the quarter in all 3 regions. We have received large orders in all 3 regions: APAC, EMEA and Americas. And also, it's nice to see that, that comes in different categories, including potatoes, avocados and citrus. Citrus is one of the categories we have kept a close eye on and regard as a core category in our refocused portfolio. It's a category where our technology provides high value add for the customers and where we are the technology leader with our LUCAi solution. And this is a crop where we see potential for customer investments. Citrus represents 17% to 18% of the overall share of fruit consumption, and the industry, last year, has been heavily impacted by climate change and diseases. And as it is a tree crop, time to full production is between 6 to 10 years. So that's time from planting until you have then a full production, depending on the variety. But when it's ready, you will need to have the infrastructure in place for sorting, grading and packaging. And what we're currently seeing in citrus is that America is rebounding, and there is an increased interest for automation due to labor challenges. We also see increased capacity requirement in APAC, particularly in Australia because of better climate conditions lately, so you get a higher volume that needs to be processed, more plantations and increased need for automation. So it will be interesting to follow the investment cycle of citrus in next years. Despite a great start to the year, our Food business is not immune to the tariff uncertainty. We do see some postponements and delayed investment decisions in the U.S. also for Food, but to a lesser extent than in Recycling. As in some cases, there is an urgent need for investment. It cannot be delayed. In addition, we see growth in other regions compensating for delays in the U.S. But there is, of course, also risk in our Food business linked to the macroeconomic situation and tariffs. Then over to Horizon, our adjacent business building. And I will give an update on our feedstock and our reuse venture. TOMRA feedstock is where we are focusing on solving the issue on plastic by investing in advanced sorting facility and facilities. And we are entering a very exciting phase for our Norwegian plant, Områ, as we have started the commissioning. Last month, in June, we produced or we had processed 1,880 tonnes in the facility. And the commissioning is going very well. We see very good yields, and we also see very good high priorities. So commissioning will continue during the autumn, and we will take over the plant during second half of this year. Then on TOMRA Reuse. TOMRA Reuse is where we are focusing on solving the issues linked to takeaway packaging, both littering and CO2 emissions by then introducing reuse options. Exciting development in the quarter is the preparations for Lisboa, where we are planning then to install 17 return points across the downtown area by October. And you will see on this picture that we had the first TOMRA Reuse installation in Lisboa happening and now in June. Also, what we have done in the quarter in reuse is that we have launched or shown our new collection point because our objective in reuse is not only our solutions for beverage cups, reuse cups, but also other types of food packaging. So you can see bottom right here, this is our new reuse collection points, where you can then also use it for boxes, bowls, trays and so forth. This is now piloting in and we have live testing on it ongoing in Aarhus. Overall, the different ventures in our Horizon portfolio is progressing in line with plans and expectations. With that, I will hand over to our CFO, Eva Sagemo.
Eva Sagemo: Thank you, Tove. And we start with the group P&L for the second quarter. The top line came in at EUR 325 million, down 2% compared to a strong Q2 last year. As we expected, the revenues in Collection were down 12% due to the timing of new markets. Recycling down 1% due to tariffs and macroeconomic uncertainty and Food up 15%, delivering on the estimated conversion ratio from a strong order backlog in the first quarter. Gross margins were in line with Q2 last year, ending at 44%. We maintain strong and good cost control across our divisions with OpEx of EUR 100 million in the quarter, slightly down compared to Q2 last year. That results in an improved profitability, up 2 percentage points, giving an EBITA of 15%, including special items. Looking at the Collection. Revenues came in at EUR 169 million, down 12% compared to a strong second quarter last year. Sales were up in all regions, except for Europe, mainly explained by the lower new market activity in this region. In Q2 last year, we had strong sales from both Austria and Romania, but as expected, these are down with Austria going live 1st of January this year. And Romania, as indicated before, continues to roll out RVMs in the market but at a lower pace currently. We continue to see an improvement in our gross margin, ending at 42% in the quarter compared to 40% last year, and that is explained by the business mix in this quarter. Good cost control in Collection with OpEx down compared to last year, ending at EUR 43 million, resulting in an EBITA of 16%, same as last year on lower top line. Recycling came in at EUR 57 million, stable compared to Q2 last year. And as we said in Q1, we estimate a conversion ratio of around 50%. However, with a downside risk due to the uncertainty linked to macroeconomic and tariffs. As you can see from the overview, we were down in our main market, Europe, and also down year-to-date in North America. Gross margins ending at 46%, a weak margin compared to a strong Q2 last year where we had a favorable product and business mix. This quarter, the gross margin is weak due to the product mix being more flakes and metal projects in the P&L. Important to note is that the underlying product margin in Recycling are intact. We have a good cost control in Recycling as well. OpEx of EUR 20 million, in line with Q2 last year, resulting then in an EBITA margin of 11% in Q2. Looking at the order intake, as Tove said, we had a weak order intake in the quarter due to the continued challenging market in Europe and in the U.S. The order intake was down 37% compared to Q2 last year, ending then at EUR 41 million. That results in a decline in the order backlog of 20% ending then at EUR 107 million. Looking at the trailing 12 months for order intake in Recycling, we are down 9%. Food came in strong on top line, delivering EUR 94 million of revenue, up 15% compared to Q2 last year. In the quarter, sales were up in all main regions except for then the rest of the world. Gross margin ending at 46%, up compared to Q2 last year, explained by high volumes, higher installation revenues and cost savings realized in the quarter. We had tariff impact in the quarter, as we talked about in Q1 that we expected a bit more than EUR 4 million of tariff impact in the margin in Q2. We landed at EUR 1.2 million in the quarter, and that is explained by the intermediate tariff reduction between China and U.S. OpEx in the quarter ended at EUR 27 million, down from Q2 last year, driven mainly by cost savings, resulting in a record EBITA margin of 18%. We also had a special item this quarter. For food, it was a positive item of EUR 3.7 million related to the restructuring costs, coming from the lease agreements in New Zealand now being as a lease that has been subleased or either terminated. And including the special items, the EBITA margin ended at 22% in the quarter. As Tove said, we have had the strongest order intake record in Food of EUR 106 million in the quarter, up 28% compared to Q2 last year. It has been strong in all regions and includes large orders mentioned being potato, citrus and avocados, accounting for more than EUR 25 million together. The strong order intake results in also the strongest order backlog recorded ending at EUR 137 million, up 15% compared to Q2 last year. And looking at the trailing 12 months for order intake in Food, we are up 11%. Cash flow from operations ended at EUR 17 million for the quarter, down from EUR 34 million in the second quarter last year. Year- to-date, we have EUR 83 million compared to EUR 54 million last year year-to-date. And this is really related to timing of inflows. 35% equity ratio, gearing of 1.8x and a return on capital employed trailing now above our long-term target of 18%. Happy to announce that the Scope Ratings affirmed our ratings for TOMRA in June at A minus stable, being business risk profile of BBB+ and the financial risk profile at A. Our weighted average debt maturity is now at 4.2 years. And we end the quarter with EUR 92 million undrawn liquidity buffer for TOMRA. And then over to the outlook. There is a high -- and we start with Collection as normal. There is a high activity related to deposit return systems in new markets and growth in existing markets. Short and midterm performance will depend upon the timing of new markets in addition to replacement sales, introduction of new innovation and variations in product and business mix. The growth prospects in 2025 are dependent on developments in upcoming deposit markets such as Poland and Portugal. However, we estimate the existing markets to grow approximately 5% year-over-year. Gross margins should continue to stay above 40% and we also expect a good cost control to continue in Recycling -- I mean in Collection. However, with quarterly OpEx variations dependent on investments into new markets, where we have an annual ramp-up OpEx run rate of approximately EUR 20 million. Outlook for Recycling. The regulation and demand for recycled materials is expected to create growth opportunities. Short and midterm performance will largely depend upon installation volumes and variations in product and business mix. The market sentiment is currently affected by a soft European plastic recycling market, trade tensions and a high degree of macroeconomic uncertainty. And this leads to increased uncertainty in the timing of orders. Revenues in 2025 are dependent on developments in this market environment and how customers will react to these challenges. Based on the order backlog at the end of the second quarter, a 40% conversion ratio is estimated to be recognized as revenue in the coming quarter. However, given the market uncertainty, orders may be postponed over quarters. And for gross margins, volumes and product mix have an impact, which can also be seen historically. There is a currently higher share of metal recycling installations in our backlog, which generally then have lower gross margins than other product segments. Gross margins may also be negatively impacted by tariffs, all dependent on sales into the U.S. And we expect the business division to maintain good cost control also going forward. Outlook for Food. The need for automation and increased quality and safety requirements create opportunities. And we are experiencing an improved market sentiment. However, the current macroeconomic uncertainty may impact customers' investment willingness also here. Revenue growth in 2025 has potential to reach mid-single-digit levels. And based on the order backlog at the end of the second quarter, a 55% conversion ratio is estimated to be recognized as revenue in the third quarter. However, also here, given the market uncertainty, orders may be postponed over quarters. The cost-reduction program has improved our gross margins in Food. However, we will continue to see quarterly variations in the gross margin depending on volume and product mix. As we said, tariffs have impacted the margins in Q2, and we may continue to -- it may continue to impact gross margins also going forward. Following last year's cost-reduction program, the target is to achieve an EBITA margin of 10% to 11% in 2025. And then the outlook for Horizon. Horizon consists of our venture activities in feedstock and reuse in addition to the newly acquired smart waste company, c-trace. While the underlying operating expenses for feedstock and reuse are expected to remain in line with 2024 levels, there will be an increase in costs related to the feedstock plant, Områ, which goes into operations end of this year. So the total OpEx run rate for feedstock and reuse is estimated south of EUR 20 million for full year 2025. And then when we talk about the investments or the CapEx of Horizon, it's approximately EUR 40 million for this year, so EUR 40 million for 2025, and that is mainly related to our 2 feedstock plants where we have currently spent around EUR 10 million. And I think I end here, Daniel, and hand it over to you.
Daniel Sundahl: Thank you, Tove, and thank you, Eva. Before moving over to the Q&A, I would like to mention that Områ, our Norwegian feedstock plant, will officially open on the 5th of November, and we're happy to invite everyone who is interested to join this ceremonial event to contact Investor Relations. So -- and we're also, of course, happy to organize other investor site visits to view the plant in live operations. So stay tuned for that as well.
Daniel Sundahl: But with that, we will open up for Q&A. And I see that we have a few questions coming in already. And the first question is coming from Adela Dashian in Jefferies.
Adela Abdenian Dashian: A few questions for me. Firstly, if we start with Recycling, are you able to just clarify your expectations for revenues this year? I mean, given the decline in order backlog and also the indicated conversion ratio, it seems like you would have to take a pretty strong pickup in H2 to achieve full year growth. So what's your visibility on that? And what you currently have in the pipeline? And what gives you confidence in the potential rebound already in the second half?
Tove Andersen: So far, year-to-date, we have had revenues in Recycling of a bit more than EUR 100 million. And the data point that we have indicated for the coming quarter is a 40% conversion ratio of the order backlog. That's the data points that we have given. And then we have also said it's an uncertainty in the market related to the macroeconomic situation and the tariffs and revenues for 2025 will depend on how customers will react to these challenges.
Adela Abdenian Dashian: So would it be fair to say that with that conversion ratio, you're currently not expecting growth in 2025?
Tove Andersen: I can just repeat myself, Adela, that it's a very uncertain market, and these are the data points that we can give at this point in time.
Adela Abdenian Dashian: Got it. Then on the -- if we move to Food, very strong margin development here in Q2. Do you feel like the current full year targets might be a bit too conservative because as it stands now, it looks like you're not expecting double-digit margins in H2 despite the restructuring benefits and strong order momentum. So what would that be driving a more cautious outlook?
Tove Andersen: Yes. So the profitability in Food, it's very high. It's very strong and good now in Q2. It's a mix of many things. Of course, as I said, volume plays a part. The product mix plays a part and the business mix plays a part. So that's what -- when we say when we talk about gross margins, so we indicate that it will be quarterly variations. But of course, with the cost reduction program that we had over the last year, we have seen improvements in the margins in Food.
Adela Abdenian Dashian: But with the current order backlog, do you -- is there a mix variation, a more negative mix in H2 that makes you feel like you will not achieve double-digit margins?
Tove Andersen: So we don't necessarily go into the details of the order backlog. But what I can say is that we have the target still of reaching the EBITA of 10% to 11% for the full year in Food.
Adela Abdenian Dashian: Okay. Lastly, on Collection. Are you able to provide us with an update on how things are progressing in Poland? Maybe specifically what go-to-market model that's been adopted or is being planned to be adopted? And then maybe also an update on how you would characterize your competitive positioning versus both local and regional players?
Tove Andersen: Yes. So it's a very exciting time now in Poland, a lot of activities going on. We have a good strong team in place in Poland, with more than 50 people already. We have signed some contracts, and we are in negotiations related to other contracts. Online, we have talked about in the past that we have had discussions both on throughput models in Poland and sales and service. And what we are seeing currently is that it's tilting more towards sales and service. So we think currently that the majority of the business models will be a traditional contract linked to them selling the equipment and do the service afterwards.
Adela Abdenian Dashian: And I guess, how competitiveness right now, is it the same as you've already established in previous quarters or are you seeing intensifying or -- yes?
Tove Andersen: I think it's always very competitive in these new markets that are being launched. And I think when we looked at the competitive situation in Poland year back, you had the mix of the more -- the local players, new local players and the more international ones. What we are seeing now is that the small local players is very difficult to compete into a market. So the ones that we're seeing active now is the traditional competitors that we see in all markets. We are very confident in the service that we are offering to the customers. We have 50 years of history. We have the largest experience background from different markets. We have the broadest portfolio. We have the best software solution. We have the most reliable product. We also have developed some specific products for Poland because many stores in Poland will not be able to have the RVMs inside. So they want to have it outside. Also, we have launched a new product now specifically for Poland. So we believe that we are very well positioned to take a significant share of the Polish market.
Daniel Sundahl: Next question will come from Morayo Adesina in Barclays.
Morayo Adesina: Morayo on behalf of Gaurav Jain. Just one question from me on Food. Obviously, last quarter, you were expecting around EUR 4 million tariff impact. Is there any color you can give us here on what you're expecting for Q3? And I don't know if there's any more sort of color you can give us in terms of the improvement in Food, how much is that -- how much of that can be attributed to the restructuring program versus improved market sentiment. I don't know if there's anything you can share on that?
Eva Sagemo: Yes. So if we start with the restructuring program, we had a target to save EUR 30 million. And what we said was that 1/3 of that should go into the gross margins. And then, of course, as we have said today, we have quarterly variations in the gross margin depending on volume, product mix and business mix. And also this quarter, we had the tariffs in of EUR 1.2 million impacting the margin negatively with more than 1 percentage point. Going forward, of course, that depends on, first of all, that the tariffs are being fully landed. So you can have predictability into what that means for the shipments into the U.S., but also Incoterms plays a role and how you also negotiate with your customers. But -- so what I would like to say is that tariffs might impact the margins going forward. All dependent on what we have in the order backlog and what we would sign on orders in the U.S. going forward at which terms. So it's a bit difficult to estimate precise what will be the tariff impact in Q3 and Q4 and we just need to come back to that.
Tove Andersen: If I can just add one comment, what we have done in Food because in Food, we have been exposed both to Chinese and European tariffs into the U.S. because we had some products also being produced in China. During now Q3, we will also have that capability in Europe to produce what we are currently producing in China so that we are able to flex between those 2 production location based on the tariff situation.
Daniel Sundahl: Next question will come from Elliott Jones in Danske Bank.
Elliott Geoffrey Peter Jones: Just stay on Collection. You noted, I think gross margins of 42%, it's a 2 percentage point increase year-on-year. Is there a reason to kind of think that these margin levels will be kind of lower from this level as we move through the year? I know you have the kind of baseline target of above 40%. But just trying to get a kind of idea of, I don't know, maybe the mix or how we can expect to see this gross margin develop through the year?
Eva Sagemo: Yes. So as we said, gross margin should stay above 40%, then we will have quarterly variations, depending on what we sell in the quarter. So we had a positive business mix now in Q2 related to throughput volumes, lesser new -- less new sales of machines. Of course, that impacts the gross margins. Going into the second half, we expect the new markets to pick up with Poland and with Portugal. And when you sell more machines into a quarter that it also impacts the gross margins in Collection. So think about the more than 40% gross margin for Collection for the full year.
Elliott Geoffrey Peter Jones: Got it. And then just on Poland, yes, good to hear that you guys are signing contracts and things are developing. Just digging a bit deeper there, are you expecting kind of a meaningful set of installations in Q3 and Q4? Or is this -- just based on the contracts you've seen and signed, is this kind of a market whereby it's nothing in Q3 and a big rush in Q4? Just to get a bit of color there. And then in Portugal, just quickly, how are things looking there with regards to how -- a similar question but how ready the market is prior to go live? Are you expecting decent installation rate before the go-live date in Portugal? Or is that one where it's going to be a big rush in Q1, for example, and then a longer tail?
Tove Andersen: Yes. So if you start with Poland, so the official go-live date is October 1. We have always said that we think it will be 3 months grace period, which means that this will go live 1st of January next year. And also what we have said is that we believe that the rollout there will be more similar to Romania, where you will have a longer rollout. However, at the same time, we do believe that installations will pick up significantly during second half. We have ramped up production to be ready to do that. And also as commercial negotiations are progressing, our expectations is that installations will pick up during second half. In Portugal, you can say Portugal has a later go-live date in Poland, but are a bit more advanced in the commercial discussions. It's also different than Poland, because in Poland, you have the additional complexity of many system operators. Well, the system operator in Portugal has been known for quite some time. So there, we see that it's more mature than Poland. We have signed contracts with 3 of the large players in Poland as the -- now in Portugal as the majority supplier and we would also then expect installations in Portugal to happen during second half year and then continuing next year as well.
Elliott Geoffrey Peter Jones: Great. And then sorry, 2 further questions. Just on Spain, I think there's been some kind of progress there, and you mentioned that as well. Is -- I think the consensus is that Spain was definitely going to be delayed quite significantly. Would you agree with that? Or are you seeing progress there that actually makes you think that there could be -- we could be hitting the ground on time in Spain and things are actually looking good for kind of a Q4 launch there? And then the final question is on Food again. Just in terms of orders, you spoke on a more positive environment. Is there any reason to suggest this is a massive one-off? Or if things don't change, could you expect similar order intake levels in Q3 and Q4?
Tove Andersen: Yes. So in Spain, I guess also our expectations was that when this kicked in and they were going to go live within 2 years that there will be some delays because we often see that in markets. However, when you see how Spain is progressing now, there is no reason why they shouldn't be able to go live as planned in Q4 2026. But this, we just need to monitor. I think the key thing now is that we see that there are -- they're taking the steps that you need to take to get ready for the launch of a deposit return system. They now have had this tender out for then applying to be a system operator. They will evaluate that. So I think we'll learn more as we go, but the positive thing is that we see that they are progressing. Eva, you take the order intake...
Eva Sagemo: And then on the order intake question for Food. So we had a very strong order intake now in Q2. And important to mention that we had large orders into that order intake of more than EUR 25 million. So that's important to note when you model going forward. And what we have said is that we see an improvement in the market. We see orders coming in, in the regions, in the different categories. But it is also still a risk within the Food market because they have also -- we have also seen a postponement there on the investment willingness due to the uncertainty generally in the world.
Tove Andersen: And we always say is that there will be quarterly variations. We always recommend you to look at the trailing 12 months. And we also say that when the order intake has been good, but if you look at the trailing 12 months for Food, I think it's up 11%.
Eva Sagemo: 11%, yes.
Daniel Sundahl: As there are no further questions in line, we have reached the end of this presentation. The next time we will be here is in exactly 3 months on the 17th of October. In the meantime, we wish you a wonderful summer. Have a nice day. Goodbye.